Operator: Good afternoon. Thank you for attending today’s Alpha and Omega Semiconductor Fiscal Q3 2025 Earnings Call. My name is Cole and I will be the moderator for today’s call. [Operator Instructions] I would now like to turn the call over to Steven Pelayo. Please go ahead.
Steven Pelayo: Good afternoon, everyone and welcome to Alpha and Omega Semiconductor’s conference call to discuss fiscal 2025 third quarter financial results for the quarter ended March 31, 2025. I am Steven Pelayo, Investor Relations representative for AOS. With me today are Stephen Chang, our CEO, and Yifan Liang, our CFO. This call is being recorded and broadcast live over the web. A replay will be available for 7 days following the call via the link in the Investor Relations section of our website. Our call will proceed as follows today. Stephen will begin business updates including strategic highlights and a detailed segment report. After that, Yifan will review the financial results and provide guidance for the June quarter. Finally, we will have a Q&A session. The earnings release was distributed over the wire today, May 7, 2025, after the market close. The release is also posted on the company’s website. Our earnings release and this presentation include non-GAAP financial measures. We use non-GAAP measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with the GAAP measures. A reconciliation of these non-GAAP measures to comparable GAAP measures is included in the earnings release. We remind you that during this conference call we will make certain forward-looking statements, including discussions of the business outlook and financial projections. These forward-looking statements are based on management’s current expectations and involve risks and uncertainties that could cause our actual results to differ materially. For a more detailed description of these risks and uncertainties, please refer to our recent and subsequent filings with the SEC. We assume no obligation to update the information provided in today’s call. Now, I will turn the call over to our CEO, Stephen Chang. Stephen?
Stephen Chang: Thank you, Stephen. Welcome to Alpha and Omega’s fiscal Q3 earnings call. I will begin with a high-level overview of our results and then jump into segment details. We delivered fiscal Q3 revenue and EPS results at the high-end of our guidance, driven by better than expected demand in computing. Revenue was $164.6 million. Non-GAAP gross margin was 22.5%. Non-GAAP EPS was a loss of $0.10. Total revenue increased 9.7% year-over-year and declined 4.9% sequentially. As previously noted, licensing revenue began to wind down in the March quarter. Excluding licensing, our product revenue was up 11.6% year-over-year and down 3.5% sequentially. We saw seasonal sequential declines in fiscal Q3 from each of our major segments, except the computing segment, which grew slightly sequentially against seasonality, driven by tablets and notebooks. The Computing segment increased nearly 15% year-over-year. Looking ahead, we face a dynamic landscape with macroeconomic, geopolitical and trade-related uncertainties. Currently, our direct tariff exposure is minimal due to limited U.S. shipments, but we are closely supporting customers navigating supply chain complexities to ensure compliance and minimize disruptions. While we are seeing a near-term uplift in the first half of the calendar year, broader visibility for the second half of 2025 remains uncertain. Nonetheless, we are delivering on our commitments and advancing our transformation from a component supplier to a total solutions provider. Our goal is to leverage premier customer relationships to expand market share and increase BOM content with a broader portfolio. With that, let me now cover our segment results and provide some guidance by segment for the next quarter, starting with Computing. March quarter revenue was up 14.8% year-over-year and up 3.6% sequentially and represented 47.9% of total revenue. These results were ahead of our original expectations for a slight decline. The upside was driven by better than expected tablet demand, with revenue nearly doubling year-over-year to a quarterly record due to market share gains as well as some demand pulled in from notebooks due to tariff uncertainties. In the March quarter, we continue to experience robust demand for graphics and AI accelerated cards driven by a key customer scaling their next generation platform. Looking ahead to June, we anticipate even stronger performance with graphics card revenue projected to reach a record high. For AI applications, demand for high performance commute remains robust and we are encouraged by this continued strong growth in data center capital spending. In Q1, we broadened our penetration with an existing premier customer to secure design win in one data center application with a notable increase in BOM content. This is a testament to our ability to provide total solutions with multi-phase controllers and multiple power stages per GPU. Volume production for this program started in the March quarter and will continue into the June quarter. Design inactivity is still ongoing for additional programs. However, visibility for the second half of the year remains limited due to uncertainties in end market demand. In the PC market, we expect continued pull in activity through the June quarter driven by fluid trade regulations. In summary, we expect the Computing segment to increase mid single-digits in the June quarter and more than 15% year-over-year. The sequential growth is driven by PC-related pull-ins and strength in graphics cards. However, it is important to note that visibility into the second half of the year remains limited due to uncertain macro environment and evolving trade policies. Turning to the Consumer segment, March quarter revenue was down 9% year-over-year and down 4.9% sequentially and represented 13% of total revenue. The results were in line with our forecast driven by seasonality in gaming and home appliances as well as a pullback in wearables following a record level achieved in the third calendar quarter of 2024. For the June quarter, we forecast more than 25% sequential growth in the Consumer segment driven by gaming and home appliances. Gaming is expected to be particularly strong due to pull-ins for a targeted marketing push from a key customer. Next, let’s discuss the Communications segment. Revenue in the March quarter was up 5.8% year-over-year, down 14.4% sequentially and represented 17.2% of total revenue. The results were in line with our expectations for a seasonal sequential decline from our Tier 1 U.S. smartphone customer while China OEMs moderated only slightly and Korea was sluggish as customers prepared for product launches in the first calendar quarter. We believe Communications results continue to reflect a combination of market share gains, a mix shift to higher end phones in China and generally higher charging currents driving increased BOM content. Looking ahead, we anticipate flattish sequential growth in the June quarter for the Communications segment. By region, we expect growth from smartphone customers in the U.S. and Korea offset by slower sales from China. Now, let’s talk about our last segment, Power Supply and Industrial, which accounted for 19.9% of total revenue and was up 32.4% year-over-year and down 6.2% sequentially. The results were ahead of our forecast for a low-teen sequential decline primarily driven by a seasonal decline in quick chargers offset by sequential growth in e-mobility and AC-DC power supplies. As we stated before, we see additional opportunities in 2025 for quick chargers due to increased BOM content driven by higher charging currents. Further, we are leveraging relationships in Taiwan to partner on DC fans for server racks. For the June quarter, we expect revenue to be flat to slightly down sequentially for the Power Supply and Industrial segment, primarily driven by a seasonal increase in quick chargers and AC-DC power supplies offset by lower e-mobility revenue. In closing, we are pleased that March quarter results were better than expected, ahead of seasonality primarily due to pull-ins in the Computing segment. Looking ahead, we face a dynamic geopolitical and macroeconomic environment. We are monitoring developments, ensuring compliance, diversifying our supply chain and collaborating with customers to minimize disruptions. For the June quarter, driven by strength in Computing and Consumer segments, we currently expect low to mid single-digit sequential revenue growth, suggesting June quarter revenue should approximate the levels achieved in the December quarter, despite the stronger March results and discontinuation of licensing revenue. Excluding the impact from discontinued licensing revenue, we expect mid to upper single-digit revenue growth. Gross margins in June should also approach a level achieved in the December quarter, driven by improved utilization rates and a richer product mix. Our business fundamentals remain strong, supported by cutting-edge technology, a diverse product portfolio and marquee customer base. We expect revenue growth in calendar 2025, driven by new market expansion, market share gains and increased BOM content. While near-term uncertainties remain, our focus remains steadfast on executing our strategy and delivering sustained value for our stakeholders. With that, I will now turn the call over to Yifan for a discussion of our fiscal third quarter financial results and our outlook for the next quarter. Yifan?
Yifan Liang: Thank you, Stephen. Good afternoon, everyone and thank you for joining us. Revenue for the quarter was $164.6 million, down 4.9% sequentially, and up 9.7% year-over-year. In terms of product mix, DMOS revenue was $106.8 million, down 5.4% sequentially and up 13.9% over last year. Power IC revenue was $54.6 million, up 1.6% from the prior quarter and 9.2% from a year ago. Assembly service and other revenue was $0.4 million as compared to $1.1 million last quarter and $1.2 million for the same quarter last year. License and engineering service revenue was $2.8 million for the quarter versus $5.4 million in the prior quarter and $5.1 million for the same quarter a year ago. This license and engineering service contract was completed in mid-February. Non-GAAP gross margin was 22.5% compared to 24.2% last quarter and 25.2% a year ago. The quarter-over-quarter decrease was mainly impacted by lower license and engineering service revenue in the March quarter. Non-GAAP operating expenses were $39.7 million compared to $39 million for the prior quarter and $38.9 million the last year. The slight quarter increase was primarily due to higher payroll tax expenses given the start of a new calendar year. Non-GAAP quarterly EPS was negative $0.10 compared to $0.09 per share last quarter and a negative $0.04 per share a year ago. Moving on to cash flow. Operating cash flow was $7.4 million, including $9.6 million of repayment of customer deposits. By comparison, operating cash flow was $14.1 million in the prior quarter and $28.2 million last year. We expect to refund $2.7 million of customer deposits in the June quarter. We also repurchased 306,000 shares of employee restricted stock units vested during the quarter for $9.4 million. EBITDAS for the quarter was $11.2 million compared to $16.8 million last quarter and $11.6 million for the same quarter a year ago. Now, let me turn to our balance sheet. We completed the March quarter with a cash balance of $169.4 million compared to $182.6 million at the end of last quarter. Net trade receivables increased by $8.6 million sequentially. Day sales outstanding were 11 days for the quarter compared to 12 days for the prior quarter. Net inventory increased by $4.4 million quarter-over-quarter. Average days in inventory remained at 129 days for the quarter. CapEx for the quarter was $8.1 million compared to $7.4 million for the prior quarter. We expect CapEx for the June quarter to range from $12 million to $14 million. Now, I would like to discuss June quarter guidance. We expect revenue to be approximately $170 million plus or minus $10 million, GAAP gross margin to be 22.9% plus or minus 1%. We anticipate the non-GAAP gross margin to be 24% plus or minus 1%; GAAP operating expenses to be $47.1 million plus or minus $1 million; non-GAAP operating expenses are expected to be $40.2 million plus or minus $1 million; interest expense to be approximately equal to interest income and income tax expense to be in the range of $0.9 million to $1.1 million. With that, we’ll open the call for questions. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first question is from David Williams with Benchmark. Your line is now open.
David Williams: Hey, good afternoon. Thanks for taking my question and certainly congrats on the good quarter here. I guess maybe, Stephen, I missed a little bit of the beginning of the call there. But I wanted to see if you could help kind of quantify the magnitude of the pull-ins that you discussed on the PC side and maybe also talk about any of the graphics cards, success that you have had this quarter and how you are thinking about that going forward. Thanks.
Stephen Chang: Sure. So, for the first part of the question about the pull-ins, certainly we did see some increased demand because our customers are trying to take advantage of the current situation of the tariffs. And this is more pronounced especially in the computing segments, particularly with our notebook shipments. So, normally, the March quarter is a down season and this was muted somewhat because of the tariffs and the pull-ins from some of our PC customers. To quantify that, I think we beat the midpoint by about $6 million. Maybe half of that could come from the notebook increase. We also can expect to see that going into the June quarter as well. Regarding our graphics business, we are excited to be taking part in selling into the new versions of both graphics cards as well as the AI accelerator cards. We have already started shipping at the end of last year and we continue to ship at the beginning this year and going throughout this year. And this portion, I think we are encouraged by what we see and our customers are pulling products. They are getting GPU allocation and they are shipping out. So, we are glad to take a part of that.
David Williams: Alright. Certainly great color there. And then can you kind of help us to kind of understand the tariff impact to you all? Just kind of given where your manufacturing is and your presence there, how much of your product or sales do you think come back into the U.S.? And maybe is there any way to size that tariff impact overall from outside of what the demand could be, but just your direct impact?
Yifan Liang: Okay, sure. Obviously, this is a very dynamic and challenging and evolving issue for us and also for the semiconductor industry and for the overall macro economy. Tariffs definitely created a lot of unknowns. There are direct impact and indirect impact. Our direct exposure to tariffs so far is only very limited as our shipments into the U.S. are minimal. So, indirect impact on the overall demand for end products and devices remains to be seen. It’s not that clear at this point. We are monitoring the situation, ensuring food compliance in multiple countries, areas so that we can make adjustments quickly in response to regulatory developments. We are also working closely with our customers to minimize any disruptions so that we can meet their supply requirements.
David Williams: Great. And then just one last one for me if possible, but I know that next quarter you talked about the licensing revenue and that engineering service is falling off. And I know that was expected to be kind of a margin impact, but you are guiding margin up here sequentially. Is that just a function of the higher revenue base or what is it that’s helping you lift that margin? And how sticky and sustainable is that? Should we expect the margin to incrementally improve as we see that top line grow as well? Thank you.
Yifan Liang: Sure. For the current quarter margin guidance, we factor in better product mix. And so far we saw and also we expect a higher utilization at our factories. So, both factors have contributed to the margin rebound.
David Williams: Thank you.
Operator: We have a question from Jeremy Kwan with Stifel. Your line is now open.
Jeremy Kwan: Yes. Good afternoon and congrats on a very solid quarter and outlook, especially in this environment. Maybe a quick follow up on the tariff question. Just looking at your China JV, is this fair to say that the vast majority of that production is for use within China or even all of it? And can you remind us again how much the JV, what percent of your wafer requirements is sourced out in your China JV?
Yifan Liang: Sure. Yes, JV is right now I guess accounted for about 20% also of our total supply. So, right now, under the current regulations and then policies and yet their impact is from tariffs and kind of a minimum to us.
Jeremy Kwan: Got it. And just following up on the utilization question, can you remind us where you are currently and both internally in your Oregon fab and also at the JV?
Yifan Liang: JV, we don’t count them as our internal capacity. We treated them as one of our suppliers. For us internally, overall utilization is around 80% to 90% range. So, on an overall basis and also we still have additional external capacities to support our business.
Jeremy Kwan: Can you comment further on that? Have you developed additional foundry partners and what kind of additional capacity is available to you at the JV?
Yifan Liang: Sure. Yes, we have been developing third-party foundries and then during the last few years, yes, we will continue to do that. Yes, that would add capacity even to support our next year’s expected growth, so mapping out those capacity requirements right now. In terms of JV, yes, they still have additional capacity if we need it to support us.
Jeremy Kwan: Great. And a question on the – first, congrats on the very solid cash flow, it looks like there is about $17 million if you exclude the customer deposit repayments. Can you talk about what kind of cash flow dynamics you expect as you move throughout the year? And also on the CapEx side, I know you have mentioned, I think it was $12 million to $14 million. Next quarter, can you just give us a sense of where that might land for the full calendar year 2025? Thank you.
Yifan Liang: Sure. Overall cash flow, I would expect that, yes, it’s kind of stable for us at this point. Overall, next quarter, we expect to pay only $2 million or $3 million on the customer deposits and then for the whole year we still have about $16 million to go and for the June quarter, September quarter and December quarter. In terms of overall, I mean this right now, we don’t see a whole lot of issues with CapEx. So, we are generally targeting 6% to 8% of our revenue. So, this year could be around $40 million to $50 million each. So, this CapEx and I mean from quarter-to-quarter could fluctuate. So, last two quarters or three quarters we were running around $7 million or $8 million. From the next quarter we expect like $12 million to $14 million also. So, by and large, no one still within our overall target.
Jeremy Kwan: Got it. And maybe one last question before I jump back into the queue later, can you give us an update on the pricing environment and maybe a quick update also on the competitive landscape? I know in the past you have talked about local suppliers kind of increasingly at the low end. Any kind of detail you can provide would be great and especially pricing as it relates to yes, just where you see things going over the next maybe 6 months to 12 months. Thank you.
Yifan Liang: Okay, sure. ASP erosion on the same product basis for the March quarter was tracking towards historical trend line. So, overall, we saw increased competition from all players in that, I mean big or small. So, overall, what we want to do is roll out our new products to provide better performance and more functionalities and to reset the ASP. So, that’s the name of the game. So, then we will continue to do that.
Jeremy Kwan: Got it. Thank you very much.
Yifan Liang: Thank you.
Stephen Chang: Thanks.
Operator: [Operator Instructions] We have a follow-up from Jeremy Kwan. Your line is now open.
Jeremy Kwan: Thank you. I guess I could have stayed on, maybe a follow-up on the AI accelerator cards. It sounds like that’s going to be a pretty nice opportunity for you guys and there could be potential to expand into other opportunities. And can you just give us a little bit more color into whether these are – do you have any visibility to whether these are associated with any specific hyperscalers or AI providers in particular? And also, yes, what kind of new opportunities are you looking at? Is it more accelerator cards or is it different kind of I guess architectural designs that you can talk about? Thank you.
Stephen Chang: Sure. So, the near-term growth that we see has been in the AI accelerator cards. And I will just remind, again, we are selling a total solution here including a multi-phase controller along with a power stage and actually quite a number of power stages per GPU. There is a wider range of graphics/AI accelerator cards from low-end cost-effective ones to high-performance cards. And we are servicing the whole array of that. And we don’t know exactly what’s going into in terms of end-to-end customer. But I can say that our products are shipping into various performance products for our direct customer. And we do expect that that’s going to continue to grow. I think the wrap-up is still continuing to happen. We are guiding that it will grow further going into the June quarter and hopefully more after that as well too. But it doesn’t stop there. Our initial growth for this year will be coming from the graphics side, but we are also working on getting into the data center side. In this earnings release, we did mention that we did win – achieve a design win on one data center application. And this is something that we already started shipping in this second – sorry, in this June quarter. And we are hoping to also we get onto more programs beyond that. So, that portion I think is just starting and we are hoping to be able to expand into more programs after that.
Jeremy Kwan: Got it. And is this for both the onboard power as well as the I guess what is called the backplane power of 48 volts or the higher voltage power coming in the data center?
Stephen Chang: Right now, it’s mainly the still the low voltage solutions powering directly powering the GPU. So, we are talking about again the multi-phase controller coupled with multiple power stages.
Jeremy Kwan: Got it. And that goes for your data center side as well that you mentioned.
Stephen Chang: Yes, except that accounts for the power stages go up even higher because of the higher voltage.
Jeremy Kwan: Got it. Great. Thank you very much.
Stephen Chang: Thank you.
Operator: There are no additional questions at this time. So, I will pass it back to the team for any closing remarks.
Steven Pelayo: Okay. Great. This is Steven Pelayo. Before we conclude, I would like to just briefly mention two upcoming events. The management team will for you participating in and they will be available for one-on-one meetings at the B. Riley 25th Annual Institutional Investor Conference on May 21st in Marina Del Rey, California and the Stifel 2025 Cross-Sector Insight Conference on June 4th in Boston, Massachusetts. If you wish you request a meeting, please contact the institutional sales representative at each of the sponsoring banks. This concludes our earning call today. Thank you for your interest in AOS and we look forward to talking to you again next quarter.
Stephen Chang: Thank you.
Operator: That concludes today’s call. Thank you all for your participation. You may now disconnect your line.